Operator: Good day, everyone, and welcome to the Verisk Second Quarter 2024 Earnings Results Conference Call. This call is being recorded. [Operator Instructions] For opening remarks and introductions, I would like to turn the call over to Verisk's Head of Investor Relations, Ms. Stacey Brodbar. Ms. Brodbar, please go ahead.
Stacey Brodbar: Thank you, operator, and good day, everyone. We appreciate you joining us today for a discussion of our second quarter 2024 financial results. On the call today are Lee Shavel, Verisk's President and Chief Executive Officer; and Elizabeth Mann, Chief Financial Officer. The earnings release referenced on this call as well as our traditional quarterly earnings presentation and the associated 10-Q can be found in the Investors section of our website, verisk.com. The earnings release has also been attached to an 8-K that we have furnished to the SEC. A replay of this call will be available for 30 days on our website and by dial-in. As set forth in more detail in today's earnings release, I will remind everyone today's call may include forward-looking statements about Verisk's future performance, including those related to our financial guidance. Actual performance could differ materially from what is suggested by our comments today. Information about the factors that could affect future performance is contained in our recent SEC filings. A reconciliation of reported and historic non-GAAP financial measures discussed on this call is provided in our 8-K and today's earnings presentation posted on the Investors section of our website, verisk.com. However, we are not able to provide a reconciliation of projected adjusted EBITDA and adjusted EBITDA margin to the most directly comparable expected GAAP results because of the unreasonable effort and high unpredictability of estimating certain items that are excluded from projected non-GAAP adjusted EBITDA and adjusted EBITDA margin, including, for example, tax consequences, acquisition-related costs, gains and losses from dispositions and other non-recurring expenses, the effect of which may be significant. And now I'd like to turn the call over to Lee Shavel.
Lee Shavel: Thanks, Stacey. Good morning, and thank you for participating in this morning's call. As we mark the halfway point in 2024, I can confidently say that we are on track to deliver against the strategic, operational and financial goals that we articulated at Investor Day and in our 2024 full year guidance. Elizabeth will provide the detailed financials, but at a high level, Verisk delivered solid organic constant currency revenue growth led most importantly by strong subscription growth of 8.3% that was broad-based across most of our businesses. This was partly offset in the quarter by modest declines in our transactional business, related to historically high volumes in auto shopping and elevated weather-related activity in the prior year quarter, which made for tough comparisons to normalized activity this quarter. We also experienced a drag on our transactional growth from the conversion of transaction-based contracts to subscriptions, which enhances the consistency of our growth going forward. To put this quarter in perspective and minimize the transaction to subscription conversion impact on a two-year compound annual growth rate basis, our total organic constant currency revenue growth has been 8%, at the high-end of our Investor Day revenue growth targets. We are driving subscription growth through strong renewals and improved price realization as our customers recognize the innovation and value-added upgrades we have incorporated into existing solutions. This is something that we've heard repeatedly in our renewal discussions with our largest clients. Our focus on cost discipline and operating efficiency resulted in healthy organic constant currency adjusted EBITDA growth and strong margin expansion, translating into 15% adjusted EPS growth. We delivered these results while continuing to invest in innovation and technologies that can help our clients improve speed, efficiency and accuracy through deeper insights, improved data and increased automation. Our strategy is unchanged as we focus on building long-term value for the insurance ecosystem while delivering consistent and predictable growth with high returns on capital for shareholders. The industry backdrop in which we are currently operating is one marked by continued strong premium growth as rate increases continue to earn in. In fact, in the first quarter of 2024, industry-wide direct premium growth increased 10%, and Swiss Re's forecast is for 8% growth for the full year. Profitability across the sector has improved, and industry-wide combined ratios have come down, though there is variability by line and geography. Carriers continue to be cautious in an uncertain environment and focused on driving profitability. Specific to the homeowners line of insurance, 2023 was the worst year on record for catastrophic losses with $15.2 billion in losses, and direct combined ratios in 17 states were above the breakeven threshold of 100. This has driven carriers to restrict underwriting in certain markets and in some cases, exit challenging states and lines of business. We are working with our clients and innovating new solutions that target these problem areas, including introducing new roof analytics that leverage aerial imagery and engaging with the respective departments of insurance in Western states to share the updates we have made to our wildfire solutions. In the near term, these market conditions may present some headwinds for our predominantly subscription property business, but in the longer term, we continue to believe it highlights the need for the most accurate information to best price the risk. Technological and regulatory change also continue to challenge the industry structurally. And we continue to partner with clients to help them address the rapid pace of technological change as well as increased regulatory scrutiny on data privacy, fairness, generative AI and climate risk. As another example of our work to support understanding of broad industry challenges, we recently co-authored a paper along with research organization RAND Corporation analyzing the impact of social inflation in insurance casualty claims payments with a focus on better understanding the trends, impact and potential structural factors in growing jury verdicts and trial awards. At the center of our growth strategy is our effort to engage with our clients on a more strategic level. As an example of what I've been hearing recently from clients, I've had conversations with both client CEOs and CIOs about the importance to them of integrating data sets across their enterprise for efficiency and consistency. We are the natural trusted technology partner to help with this data asset convergence as we are best positioned, given our deep data and domain expertise, our position in the industry and our proven track record of aggregating and integrating industry data at scale. These C-suite level and strategic conversations are opening up broader and enterprise-wide opportunities and applications of our data and analytics with the industry and new avenues for growth for Verisk. For example, in casualty, an area of focus for carriers due to the rising claim severity, our Liability Navigator is an analytic solution that objectively assesses bodily injury claims to help carriers improve settlement consistency across claim teams. By integrating our proprietary medical provider fraud data and our Discovery Navigator medical record review technology, we transformed previously unstructured and disparate medical data into actionable insights at the point of decision, thus improving efficiency and accuracy in bodily injury claims outcomes. Also key to our growth strategy is building upon our 50-plus year history in insurance and our competitive advantages and positioning to serve as a network for the insurance industry. To that end, in our specialty business solutions, we are delivering solid double-digit growth as we build out an interconnected ecosystem built upon the white space platform for participants in the London market, including brokers, underwriters and managing general agents. We are continuing to win new clients, adding 15 new clients in the quarter, and placement volumes are growing rapidly as the scale of the platform builds. This network effect is also active across our claims platforms as we continue to add new partners to our claims solutions ecosystem. The ClaimSearch partnership enables insurance technology providers to integrate with the ClaimSearch platform, allowing insurers to select the technology that best fits their individual business needs. Earlier this year, we announced two new collaborations with FRISS and Globlue Technologies, who are integrating with our ClaimSearch platform. This integration will facilitate advanced fraud analysis and detection, including more complex scoring and triaging to improve decision-making. Additionally, it should minimize the manual fraud detection process, saving valuable time and reducing operational costs for our clients. Finally, we continue to focus on innovation as a key pillar of our growth strategy. To that end, earlier this month, we officially launched ISO Experience Index, a new benchmarking tool which is part of our Core Lines Reimagine initiative. The ISO Experience Index is designed to modernize how actuaries in the insurance industry analyze risk patterns by addressing the increasing volatility and scale of loss patterns in the industry and offering a responsive and up-to-date indicator of observed underwriting experience. Experience Index empowers our clients to be more responsive to changing conditions across various geographic markets by offering quarterly releases with more frequent updates compared to traditional loss cost reviews. This enables our customers to make more informed decisions in real time. Experience Index is available for the homeowners line and will be expanded over time to other lines of insurance. Our customers are realizing the value we are delivering through Core Lines Reimagine, and we are benefiting from this investment through better price realization and improved client dialogues. In a recent conversation with the CEO of a national carrier, he expressed appreciation for our quarterly Emerging Issues updates. These reports are just one example of listening to our customers' requests to not only provide data but also deliver more valuable and actionable insights. And with that, let me turn it over to Elizabeth for the detailed financial review.
Elizabeth Mann: Thanks, Lee, and good day to everyone on the call. On a consolidated and GAAP basis, second quarter revenue was $717 million, up 6.2% versus the prior year, reflecting consistent levels of growth across both underwriting and claims. Income from continuing operations was $308 million, up 51% versus the prior year, while diluted GAAP earnings per share from continuing operations were $2.15, up 53% versus the prior year. The GAAP figures include a cumulative $102 million net gain associated with retained interest in previously disposed businesses as well as a gain associated with the bond tender transaction we entered in June. The underlying EPS growth reflects strong revenue and profit growth combined with a lower effective tax rate and a lower average share count. Moving to our organic constant currency results for the second quarter. Adjusted for non-operating items as defined in the non-GAAP financial measures section of our press release, our operating results demonstrated consistent growth across both underwriting and claims. OCC revenues grew 6% with growth of 6% in underwriting and 5.8% in claims. This was a slowdown in growth as expected from the first quarter as we overlap the tough comparison to our largest ever transactional revenue dollar quarter in the second quarter of 2023. Our subscription revenues, which comprised 81% of our total revenue in the quarter, grew 8.3% on an OCC basis during the second quarter. We experienced broad-based growth across most of our subscription-based solutions with strong renewals and expanded relationships with existing customers and solid sales of new solutions. Our subscription growth also reflects the benefit of conversion to subscription from previously transactional contracts. In some cases, temporary assignments or pilots are converting into longer-term contracts. In other cases, customers are looking to move away from pricing mechanisms tied to volume and instead opting for fixed pricing to give more visibility in their own cost structures. We are experiencing this trend across underwriting data solutions, anti-fraud solutions, specialty and property estimating solutions. And we expect the impact of these conversions to continue for the remainder of the year. The largest contributor to subscription growth continues to be forms rules and loss costs, where we are benefiting from improved price realization in our renewals as we continue to modernize our platform and deliver more value and insights to our clients through features like Experience Index that Lee spoke about earlier. In anti-fraud, we experienced underlying strong price realization in the business with growth augmented by strong sales of new solutions, including Claims Coverage Identifier and Claims Scoring, our new real-time monitoring tool that uses both rules-based and predictive models to identify and triage suspected fraudulent claims. And within Extreme Event Solutions, we delivered another quarter of high single-digit subscription growth driven by strong multiyear renewals with existing clients as well as the addition of new logos to Verisk. Our transactional revenues, representing 19% of total revenue in the second quarter, declined 3% on an OCC basis, reflecting a tough comparison versus the prior year, a drag on growth from conversion to subscription and the impact of more year-over-year weather-related claims activity. This was offset in part by strong growth contribution from our life insurance business and securitization within our Extreme Events business. Specific to the tough comparisons, last year, transactional revenues increased 12.4% and included benefits from elevated levels of auto shopping activity as well as the large non-rate action deal we had called out. Our revenue associated with auto shopping did continue to grow in this year's second quarter, but not at the level of the trailing 12 months. We expect those tough comparisons in auto to continue for the balance of the year. And with regard to the weather-related claims activity, while frequency of events was up in the second quarter, the severity events and associated claims volume from those events was down year-over-year from record levels in 2023. It is this volume metric that impacts our transactional revenues within property estimating solutions. All that said, we continue to experience a longer-term secular trend of growing weather-related claims across the property sector. And in fact, while 2024 claims volumes are down in the second quarter year-over-year, they are still continuing an upward trend as they are running approximately 20% above the trailing 5-year average. Moving now to our adjusted EBITDA results. OCC adjusted EBITDA growth was 8.5% in the quarter. While total adjusted EBITDA margin, which includes both organic and inorganic results, was 55.4%, up 130 basis points from the reported results in the in the prior year. As we've said the past, margin rate in any given quarter can be influenced by revenue mix and timing of spending. So we think it's useful to look at our margin on a trailing 12-month basis, which, as of June 30, 2024, was 54.3%, up 120 basis points over last year's level. This level of margin expansion reflects the positive impact of sales leverage, cost discipline and our global talent optimization efforts. Our margins also reflect a lower level of headcount growth in the quarter we expect to accelerate hiring in the back half of year to support our growth investments. For the full year 2024, we continue to expect our margins to be in the 54% to 55% range. We remain confident in our ability to meet our margin expansion targets while strategically investing in future growth opportunities. Continuing down the income statement, net interest expense was $29 million for second quarter compared to $32 million in the prior year, reflecting higher interest income on cash balances. During the second quarter, we issued $600 million of senior notes due 2034 and successfully tendered for $400 million of our notes due in 2025. The net effect of these two financing transactions is that the ongoing run rate for net interest expense will be higher in the second half of the year than it was in the first half. That said, we are comfortable with our current leverage, which at 2x is at the low end of our targeted range of 2x to 3x EBITDA. On taxes, our reported effective tax rate was 21.7% compared to 23.8% in the prior year quarter. The year-over-year decrease in the tax rate is primarily due to the timing of certain discrete items that we do not expect to repeat. We believe that our tax rate for the full year 2024 will be at the low end of the 23% to 25% range. There could some quarterly variability related to employee stock option exercise equity. Adjusted net income increased 13% to $249 million, and diluted adjusted EPS increased 15% to $1.74 for the quarter. The increase is primarily driven by solid revenue growth, strong margin expansion, a lower effective tax rate and a lower average share count. This was partially offset by higher depreciation and amortization expense. From a cash flow perspective, on a reported basis, net cash from operating activities increased 10% to $212 million while free cash flow increased 14% to $154 million. This is the first quarter that our cash flow metrics demonstrate the results of our insurance-only business and are reflective of the operating cash flow of the new Verisk. From an M&A perspective, we did not acquire or dispose of any businesses in the quarter. But we did receive $112 million in cash proceeds related to the prior sales of our health care business in 2016 and our specialized markets business in 2022. In both of those cases, we maintained a small structured equity position, which was monetized in this quarter. As of June 30, we had $632 million in cash on our balance sheet, which gives us the financial flexibility to continue self-fund the investment back into the business. We are also committed to returning capital shareholders. During the second quarter, we initiated a $150 million accelerated share repurchase program, which was completed in July. As of June 30, we had $1.3 billion in capacity remaining under our share repurchase authorization. We are pleased with our results for the second quarter and the first half of the year. Our outlook for 2024 remains unchanged. More specifically, we continue to expect consolidated revenue for 2024 to be in the range of $2.84 billion to $2.9 billion. We expect adjusted EBITDA to be in the range of $1.54 billion to $1.6 billion and adjusted EBITDA margin in the 54% to 55% range. Below the line, we expect fixed asset depreciation to be at the high end of the range as we continue to put new projects into service and the tax rate to be at the low end of the range, given certain onetime discrete items for the first half of the year. Combined with the slightly higher net interest expense due to our refinancing, the net result is that we still expect adjusted earnings per share in the range of $6.30 to $6.60. A complete listing all guidance measures can be found in the earnings slide deck, which has been posted to the Investors section of our website, verisk.com. And now I will turn the call back over to Lee for some closing comments.
Lee Shavel: Thanks, Elizabeth. In summary, our execution priorities are unchanged as we remain focused on delivering consistent and predictable growth while allocating capital to our highest return on investment opportunities. Our focus on heightened strategic engagement with clients, both large and small, has strengthened relationships and has fostered new product and business opportunities for the industry where we can invest at scale to drive value for our clients, employees and shareholders. We continue to appreciate the support and interest in Verisk. [Operator Instructions] With that, I'll ask the operator to open the line for questions.
Operator: [Operator Instructions] The first question comes from the line of Manav Patnaik from Barclays. Please go ahead.
Manav Patnaik: Thank you. Good morning. Lee, I just wanted to follow up. You talked about the 8% growth on a two-year stack that's above kind of what it used to be. I was just wondering the components of that outperformance. I know you talked about pricing before. I was wondering this transition from transaction to subscription if there was a way to quantify how much that might have helped and just the sustainability of this for the next several years.
Lee Shavel: Good morning. Thank you, Manav, for the question. Yes. I appreciate the focus on the 8% two-year stack growth rate because I think it does give broader context beyond what we experienced in this quarter. And to answer your question, the drivers of that have been, generally speaking, more demand for our products from the industry as they are facing a variety of challenges in - on the underwriting side, on the claims side, the value of what we have been providing to them. But also, and I think this is the element that is the sustainable aspect of it is the success that we've had in increasing our value capture from the investments that we have made across the business. And this is something I referenced in the earlier comments. We are hearing it repeatedly from clients that they recognize the innovations, the investments that we have made, and that's enabling us in this environment to capture more of that value. And we believe that, that is a longer-term trend that will enable us to continue to meet that growth, supplemented by new products and new innovations that we are adding. We continued to see strong growth in our specialty business solutions area, where we've been innovating with our white space platform, which has those very strong network effects. We have continued to see growth in our international businesses, which is a penetration opportunity for us and growth in our life insurance business. So as we said at Investor Day, we have core strength where we are adding value and capturing that value in pricing. And that's supplemented by new penetration opportunities that we believe will sustain that growth over time. And then I'd finally add that the elevated strategic dialogue that we have accomplished with our clients is opening up new opportunities to provide our products on a broader enterprise and global basis to our clients. Recent - last week, I had two CEO-level calls, visits, where we spoke about how we can help improve the consistency of the data and the analytics that they are using across their organizations for some portions that aren't utilizing our data or our analytics. And I think that is a structural and relationship benefit that we've been able to achieve, and we'll see continued support on the growth - in our growth from those aspects. On the trends sub transition, it's happening in a variety of ways. Some of it is structural. Some of it is episodic. I think that it will be a diminishing impact over time. We had some stronger elements that that contributed to dynamic in this quarter and made for some of the more pronounced differentiation between subscription growth and transaction growth.
Operator: The next question comes from the line of Surinder Thind from Jefferies. Please go ahead.
Surinder Thind: Thank you. Lee, is there any way to characterize the level of transaction activity related to things like weather? I think you guys mentioned auto remains elevated, but just get a better sense of how should we think about that on a go-forward basis or maybe a historical context?
Lee Shavel: Thank you, Surinder. So I think the thing that I would emphasize is that when you look at the second quarter of 2023 and you see the 12.4% growth, this is in the investor presentation on - in - that we had provided on the website. What we're experiencing was a very high level of shopping activity in auto as a function of rising rates within that business. You can look at the commentary of that. It was kind of truly exceptional - an exceptional level of shopping activity that was driving that transaction element. In addition, as you will see in the description around claims business, we were experiencing still a high level of weather-related claims activity that was also driving that business. And so that's really what is contributing to what we're - we are experiencing a relatively tough comparison enhanced by some of the transaction to subscription migrations that are more pronounced in this quarter. As we think about that element on an ongoing basis, I think we generally expect that our transactional growth rates are ones that are generally at our broader growth rates to slightly higher because in many cases, they represent some of our higher-growth businesses that tend to have more of a transactional aspect at the early stage. So with that, I'll ask Elizabeth to add some perspective.
Elizabeth Mann: Yes. Thanks, Lee, for characterizing the factors that impact our transaction growth, and you can see the historical trends of it in that earnings presentation that he referenced. I think for mechanical reasons - well, first of all, it is variable over time. It's inherently harder to predict. We don't try predict the weather. But that inherent variability for some of the mechanical factors, for example, the conversion of transactional to subscription, that can have a one year - that effect can persist for a full year after a subscription locks in. So I just want to - we do expect tough comparisons for the balance of the year on that transactional revenue side.
Operator: The next question comes from the line of Toni Kaplan, Morgan Stanley. Please go ahead.
Toni Kaplan: Thanks so much. And I sort of wanted to continue on this conversion topic. So I guess over the years, there have been some times that I can remember moving some revenue streams to subscription from transaction. And over time, I think that, that makes a lot of sense. In the near term, it creates a little bit of noise. And so I know you said you expect this to continue. But are there other products that you can think of within the portfolio that you will also pursue this conversion for as well? Like should we expect this to every so often come up as a theme that maybe the growth is a little bit lower in quarter, but for the long term, we're thinking of moving stuff to subscription? Are there other products that could fall into that as well? Thanks.
Elizabeth Mann: Yes. Thanks for the question, Toni. You're right that we have previously talked about this in the context of our Claims Essential bundle, where there was a targeted effort for a certain customer segment. I would say as you hear us talk now more broadly across the business, we are seeing it in a number of different businesses where customers are on a pilot and choose to lock that in for a longer-term subscription or they have a subscription with overage tiers. And as their business grows, they lock into a higher subscription so that they have more visibility into their own price point. So those are trends that we will continue to see across the business. Over time, you've still seen that subscription-transactional mix of our revenues be fairly steady at 80-20-ish. And probably as some of our transactional customers convert into subscription, at the same time, we will have new and introductory products or new markets that we're entering where it's more common to enter it in a transactional basis. So we will continue to top up, I think, that transactional revenue base as well.
Operator: The next question comes from the line of Ashish Sabadra from RBC Capital Markets. Please go ahead.
Ashish Sabadra: Thanks for taking my question. Last quarter, there was also a reference to a double-digit growth within life insurance solutions and benefited the transactional revenue growth. I was wondering if you could highlight what is going on with the life insurance solution, both on the subscription but also transactional side? Thanks.
Lee Shavel: Yes. Thank you for the question, Ashish. We do not break out for individual businesses that the transactional versus subscription. There are transactional elements for the development opportunities that we have within life. As I indicated earlier in response to Manav's question, that's a business that continues to contribute and add to our growth rate, generally falling into that higher - the double-digit rate that we have for many of our higher-growth businesses.
Operator: The next question comes from the line of Andrew Steinerman from JPMorgan. Please go ahead.
Andrew Steinerman: Sure. Hi. It's Andrew. Could you quantify if you're willing to how Verisk's auto insurance revenue growth did in the second quarter? And specifically, when thinking about data providers into that end market, does Verisk believe that's gaining, losing or maintaining share currently for auto insurance?
Elizabeth Mann: Yes. Thanks, Andrew. Our auto insurance related - the shopping-related revenue did continue to grow in this quarter. But the year-over-year comp, it means that it's growing off a much higher level. So there's deceleration there. From a market share standpoint, we believe we're generally steady in the market.
Andrew Steinerman: Okay. Thank you.
Operator: The next question comes from the line of Gregory Peters from Raymond James. Please go ahead.
Gregory Peters: Good morning, everyone. I'm going to pivot back to your comments, Lee, about strengthening relationships among your customer set. I have no doubt that your focus has really helped with your larger accounts. Maybe you could spend a minute and provide us an update on how you're progressing with your smaller accounts and also speak to potential disintermediation risk that might exist inside the smaller customer set?
Lee Shavel: Great. Thank you very much for the question. And I appreciate we have a broad range of clients. Naturally, our largest clients receive a lot of focus because their sophistication, their specific needs. But to your point, we want to make certain that we are delivering value for the entire insurance ecosystem. One thing that I would say kind of specific to the small and the midsized clients is that proportionately, they receive a greater value from the scale that we are able to deliver to them, both from an operational standpoint and from the value of data that we provide to them because often they have a lower share of access to overall loss costs or general information. I think they benefit more from the scale competitiveness that we provide them in a variety of claim solutions. And we have not seen any evidence of higher levels of attrition or disintermediation of that range of clients within our business. And that is something that we've watched and we've asked the question around. I think one - or two points that I would make supplementally is that a lot of our clients, while they are interested in new ideas, the risk of taking on a new, small, private technology vendor is something that they think about very carefully because they have to know that some - a firm that they can rely on over the long term. This is clearly an advantage for us because of our stability, our reliability. And to that end, we have also been working, as we've talked about, kind of most significantly in the claims area of finding ways to deliver some of those new technology providers by integrating them into our systems and platforms so that our clients can receive the benefit of that, but also in - with greater confidence that we have vetted and are supporting and integrating those products into our overall systems. So I really appreciate the perspective. It's not something that we have observed in terms of the behavior of our clients. Obviously, I think a much bigger impact is occasionally, our clients decide to leave a line of business or leave a state. That will have more influence, and we haven't seen any pattern of clients in the smaller, the midsized that have been leaving to another technology provider.
Operator: The next question comes from the line of Alex Kramm from UBS Financial. Please go ahead.
Alex Kramm: Yes. Hello, everyone. Apologies in advance to harp on the whole subs versus transaction one more time, but clearly, it matters to people and also for the quarter in particular. So maybe you can just help us talk about the impact of the transition in this specific quarter. I know, Lee, you gave the two-year stack. And if you're not willing to be so specific for this year, I look at what you said 8% over two years, I think the average of the reported numbers were 8.7. So is it fair that maybe that added 70 bps this quarter and maybe the core growth was more in mid-7s? Any help would be helpful since people are clearly asking.
Lee Shavel: Yes. And Alex, I am - we're trying to relate the 8.7 that you have and the 8% was looking at our total revenue, not a subscription versus transaction. So just kind of taking into account the - or trying to eliminate the impact of that that migration between subs and trans, I wanted to point out our overall revenue growth over that two-year period at 8% was still at the high end of that range. The thing that I would say further is that there was a specific significant contract that has a function of the renewal of that contract. And some of the regulatory aspects of how that needed to be approved had to be characterized as transactional in the prior year and was a subscription is now on the subscription side. So that is an element. We're not going to quantify that within it. But I would characterize that as a kind of a specific situation that added to the weakness in the subscription growth. And beyond that, we have other - I'm sorry, the weakness in the transactional growth there. So this was last year revenue from a contractual standpoint was transactional. And now that, that contract has been confirmed and executed is now subscription. So that is an element. In addition to what I think, you can look at those historical transactional growth rates in the second quarter of 2023 and see a normalization more to that longer-term growth rate. So those are the elements. We don't think it makes sense to break all of those pieces apart. But hopefully, it's clear enough that that you had some seasonal highs or cyclical highs in prior year quarter plus some structural elements that were contributing to an exceptional tough comparison on the transactional revenue growth.
Operator: The next question comes from the line of Jeff Meuler from Baird. Please go ahead.
Jeff Meuler: Yes. Thank you. Good morning. My question is on underwriting, or I guess, Slide 8. I'm having trouble connecting the descriptors under business highlights with the line chart showing deceleration. I guess it sounds like core growth is good. Life and SBS remain accretive. And two of the three bullets that you're talking about for transactional headwinds fall into claims. And I think marketing has been weak for a while. So what are the primary factors driving the OCC deceleration in underwriting just beyond the slowdown in auto rate shopping? Thank you.
Elizabeth Mann: Yes. Jeff thanks for the question. To map it in underwriting solutions, that first descriptor, you've got the underwriting data analytics solutions. That is where the auto insurance shopping activity sits. So that's an element.
Operator: The next question comes from the line of Kelsey Zhu from Autonomous Research. Please go ahead.
Kelsey Zhu: Hi. Good morning. Thanks for taking my question. So there's been a lot of discussion around where we are in the cycle for the insurance industry and whether we'll see pricing kind of peaking in 2025. Since 20% to 25% of Verisk revenue comes from contracts that have premium growth as a direct input in price increases but also with a two-year lag, does this basically insulates there into 2027 if 2025 was kind of the pricing peak for insurance companies. Or how should we think about the cyclical dynamics here?
Elizabeth Mann: Yes. Kelsey, thanks for the question, and welcome to the call. On the question of the insurance cycle, look, we've talked over time about being in a hard market broadly in the property and casualty industry. That's hitting different segments, certainly at different times. But we know it's not going to last forever. So it's a when, not an if that hard market begins to peak and becomes more competitive. I think one of the strengths of Verisk, you have seen us continue to grow historically through both hard markets and softer markets in the insurance cycle. I would not go so far as to say we are insulated. I think the pressure remains on us to continue to deliver value to our clients through all the innovations and product strength that we've talked about on the call. So I think if we continue do that, we will continue to deliver value to our customers and continue to grow revenue throughout the cycle.
Operator: The next question comes from the line of Jeff Silber from BMO Capital Markets. Please go ahead.
Jeff Silber: Thanks so much. My question is about your outlook. I know you don't give quarterly guidance, but you had some pretty good quarters in the first half of this year from a bottom line perspective. By maintaining your guidance, it implies a pretty slow down in adjusted EPS growth in the back half of the year. I know you called out accelerated hiring. Is there anything going on maybe from a timing perspective, but if you can provide a little bit more insight that would be appreciated. Thanks.
Elizabeth Mann: Yes. Thanks for the question, Jeff. A couple of things. We have historically talked about some of the seasonality in our margin. Any quarter's margin can vary based on revenue mix as well as just the timing of spending. And we've signaled - we’ve commented that we intend to invest in the business. So that our margin guidance gives you and our EBITDA guidance gives you a good feeling of where we expect to end up on an EBITDA basis. If you look at the EPS rate, in addition, there's the tax rate where we've had certain benefits in the first half of the year that we don't expect to continue in the second half of the year.
Operator: The next question comes from the line of Heather Balsky from Bank of America. Please go ahead.
Heather Balsky: Hi. Good morning. I just wanted to piggyback on Kelsey's question earlier on pricing and just ask, your net written premiums as we go into next year, I guess, the 2023 net written premiums were quite strong. It sounds like you're seeing very good value realization in terms of pricing from what you're doing in Core Lines. As we think about your 3% to 4% pricing target that you said at your Investor Day, do you think you're positioned to be at the higher end of that or even above based on what you're seeing? And how should we think about pricing in the near term? Thank you.
Lee Shavel: Yes. Thank you, Heather. I appreciate the question. One, I'm not going to go beyond the guidance the guidance questions or the guidance statement that we've made, just remaining confident in that we've provided. I do want to try address the pricing aspect a little further. And as I mentioned in my earlier comments, the fundamental dynamic almost regardless of the premium growth, which does, I think, influence it, in some cases, directly to a modest impact but also from a psychological standpoint, it's helpful. But even with those two, if we aren't providing value to our clients and they don't perceive that value then that's where we are going to run into challenges in improving pricing and driving the revenue. That's why the value of the investments that we have made in our Core Lines business and with our reimagine initiative, while one example of how we are driving value is what's critical - is the most critical factor in what sustains our revenue growth. And that's where we continue to get very strong feedback for how we are helping our clients improve the value of what they're doing. And I'd like to ask Saurabh Khemka, who leads that business and initiative to share a little bit about what we are hearing from clients and how they perceive the value of the investments that we have made. And hopefully, that will provide more context for how we've been able to overachieve on those - on that renewal pricing.
Saurabh Khemka: Absolutely. Thanks, Lee. Yes, if you look on the Core Lines Reimagine side, our engagement with our customers has really demonstrated the value of our content, and the upcoming innovations that we have is delivering additional value for them. So for example, the feedback has been very encouraging across the spectrum of our customers, large and small. They are seeing additional value in the new insights like the Experience Index, the executive insights as well as the new technology innovations that we have on delivery of our content, which is creating efficiencies for them. And so what we are hearing from our customers is these new insights is helping them be better in terms of reacting to market conditions, and these new efficiency tools are helping them to be more efficient in their operations. So it's been very good. I would also say that we've been flexible in terms of how we deliver our content. So some of our smaller customers like the packaged insights and the turnkey solutions. And our larger customers prefer some of the access to underlying components to our analytics so that they can create more differentiation. And so by being flexible, we're benefiting all our customers.
Lee Shavel: And Heather, to give you two specific examples, one product innovation has been the update to our Mozart product, which allows our clients to manage their policy forms much more efficiently because they have thousands of forms based upon product line and state and different product areas. It is a very time-consuming, laborious process to keep those updated, particularly if the reference are ISO policy forms. And so the investment that we've made is effectively in a document management platform that allows them to do that much more easily and more quickly. That's one dimension where they clearly see significant value increase. Another as we've talked about is on the Experience Index. This is where they have asked us to move further beyond those traditional loss costs that we provide to them in the underwriting process and give them a more current read on what's happening, what we see evolving. And so we are able to provide them more actionable information on a more timely basis. That provides value to them on the underwriting side, just to kind of tie that down to some specific products that we've been investing in.
Operator: The next question comes from the line of Russell Quelch from Redburn Atlantic. Please go ahead.
Russell Quelch: Yes. Hi. Thanks for taking my question. You made a point in the pre-remarks about putting out the fact that you're at the bottom end of the target leverage range. I'm keen to hear your thoughts on future capital deployment and potential use of that debt capacity. I'm wondering if you might look to inorganic growth again soon. We've, obviously, had a period where you haven't been that active, particularly if rates come down. And if you do, maybe could you talk to what areas you might target for inorganic growth, particularly wondering if there's more you could do, for example, in the life space, that would be great? Thanks.
Elizabeth Mann: Yes. Thanks for the question, Russell. So yes, as we look at our target leverage range and where we are relative to the two to three times, we go back to our capital allocation philosophy. We are willing to deploy to support the business. We do remain active in M&A markets and looking at what is available. We tend to focus on businesses that are unique in their markets that serve our insurance end market, but for which Verisk has a unique reason to be the right owner of that business. And so those can be data opportunities that we can add to our existing services. They can be customer opportunities or geographic or market expansion.
Operator: The next question comes from the line of George Tong from Goldman Sachs. Please go ahead.
George Tong: Hi. Thanks. Good morning. Going back to transactional revenue performance, the 3% decline you saw in quarter, were there any unusual headwinds you would call out that may not persist? Just trying to understand the overall trend since if you look at the quarterly cadence, the swing from plus three in 1Q to down three in 2Q was quite significant and want to understand if that trajectory should be carried forward into future quarters or if the 2Q decline is a reasonable rate to persist into 3Q, which also represents a tough comp if you look at the year-ago period.
Elizabeth Mann: Yes. Thanks for the question, George. So yes, we always highlight that our transactional revenue does have some variability to it. One important thing that I will point to, of course, from a growth perspective, we always look year-over-year, but it is interesting also to look on a sequential basis this quarter relative to the first quarter. Our total revenues grew relative to the first quarter. And in fact, our transactional revenues also grew relative to the first quarter. So it's just the year-over-year that has that pattern. Now there's some seasonality and things that hit the second quarter typically and that we're particularly strong in the second quarter of last year. And the ones that we called out were the weather impact, which was historically strong in the second quarter of last year, the auto shopping activity for which we've anniversaried that tough comp, and then the transition of transactional revenues to subscription.
Operator: [Operator Instructions] The next question comes from the line of Alex Kramm from UBS Financial. Please go ahead.
Alex Kramm: Hi, thank you for the follow-up. Just quickly, and you mentioned, Lee, the Experience Index here just a couple of questions ago. But as an outsider to the industry, I can certainly see the applicability here pretty strongly. So I know it's early days, and it's good to see this finally being launched. But can you just maybe talk about the reception you've seen with that? Because again, it seems like a lot of customers should kind of move to a more real-time index. And if so, is this definitely a new revenue opportunity? Or do you think it's going to get kind of included in upgrades? Thank you.
Lee Shavel: Alex, thanks for the follow-up. I'm going to actually ask Saurabh talk about that - addressing your question.
Saurabh Khemka: Yes, absolutely, Alex. So the feedback has been very positive. First of all, as you noted, getting more frequent data and more current data is always helpful to our customers. And this is a tool that helps them very easily benchmark their experience versus the industry. And it becomes an additional input into their own internal decision-making and priorities. So what we're hearing from customers is this is a very good innovation. We've launched it for the homeowners' line of business. And the most frequent comment I hear is, when are you going to launch the other lines of business? So, we're excited about it, and we're going to continue launching other lines of business. And as we get feedback from customers, adding more elements to the Experience Index.
Lee Shavel: And I think regardless of whether it's priced separately or it's part of the broader element, this is an example of where we expect to capture value from that greater - the greater currency, I mean, kind of recency of that data. I want to take that, Alex, just given the question and kind of broaden it. We recently did a Voice of the Customer exercise and isolated 3 primary asks that we have had from our clients. The first of which the Experience Index addresses is that they wanted more - they wanted to see greater investment in data, both broadening the data set that we have and the currency of the data sets that we have. So this is an opportunity to improve the currency and the actionability of that data set. Now the other thing that's important is that the client is also asking for more data, which means that there's an implicit desire on their part to give us more data so that we can expand and develop it. So that in and of itself creates more value for us. And we've seen a variety of initiatives and appetite from the clients in the excess and surplus area, which for insurance industry analysts will recognize has been a growing area of the - of industry underwriting. The second theme that we heard was more insights. And we talked about the emerging issues, providing greater insights from the data on what trends are that are taking place. And so that has been a key enhancement. And then the final theme that we heard from clients is connecting the ecosystem. They want us to be that that central provider building network aspect so as to improve the efficiency that the overall system and their ease of operating within that. So all of these elements I share because their reflection is not entirely of us saying, this is what the industry needs, but what we are hearing from clients that they expect from us given our role, given our centrality and the data sets that we have.
Operator: Ladies and gentlemen, this concludes our Q&A session and today's conference call. Thank you for your participation. You may now disconnect.